Operator: Good morning, and thank you for joining Becle's Fourth Quarter Unaudited Financial Results call. During this call, you may hear certain forward-looking statements. These statements may relate to our future prospects, developments and business strategies and may be identified by our use of terms and phrases such as anticipate, believe, could, estimate, expect, intend and similar terms and phrases and may include references to assumptions. Forward-looking statements are based on our current expectations and assumptions regarding our business, the economy and other future conditions. Because forward-looking statements relate to the future, by their nature, they are subject to inherent uncertainties, risks and changes in circumstances that are difficult to predict. Our actual results may differ materially from those in forward-looking statements. Before we begin, we would like to remind you that the figures discussed on this call were prepared in accordance with International Financial Reporting Standards, or IFRS, and published in the Mexican Stock Exchange. The information for the fourth quarter of 2025 is preliminary and is provided with the understanding that once financial statements are available, updated information will be shared in the appropriate electronic formats. [Operator Instructions]. Now I will pass the call on to Becle's CEO, Mr. Juan Domingo Beckmann.
Juan Legorreta: Good morning, everyone, and thank you for joining us today as we discuss Becle's Fourth Quarter and Full Year 2025 results. 2025 was a year of navigating challenges across our key markets. However, we defended or expanded our leadership position in Tequila across our main regions, protected pricing better than the industry average by leveraging our strong brand equity, and delivered solid financial performance supported by the decisive actions and disciplined execution. We are proactively assessing market conditions to reinforce our strong foundation for sustained long term growth. At the same time, it is important to put the current environment into perspective. Spirits continue to take share from other alcoholic beverages, underscoring the structural strength of the segment. Within that context, Tequila continues to outperform other full-strength spirits categories with solid price mix growth, and premiumization trends remaining intact, favoring our core strengths. Cautious of shifting consumption trends, we believe the current slowdown is mostly cyclical, driven by macroeconomic headwinds and inflationary pressures. Historically, the spirits industry has experienced periods of expansion and contraction, and we expect demand to recover as consumers' confidence improves. In the U.S. and Canada, we are implementing changes to better capture both portfolio and route-to-market opportunities. We recently announced a full realignment of our U.S. distribution network with the transition beginning on February 1. In Mexico, we continue to advance premiumization, strengthening our on-premise capabilities and sharpen marketing through innovation. Even in a cautious demand environment, we remain confident in our ability to defend our market leadership and compete effectively. In Rest of the World, we are focusing on our core brands and strengthening our premium portfolio. We continue to execute with discipline as we navigate evolving consumer behavior and macro conditions, and we continue to capture a relevant position in strategic growth markets in the region. 2025 evidenced an unusually complex global spirits sector likely to remain in 2026. However, we've consistently shown that we can drive competitive advantage through uncertain times by focusing on what matters most, the strength of our brands, the discipline of our strategy and the quality of our people. We are entering 2026 with a healthy mix of realism and optimism as we anticipate that the years ahead will continue to require bold adjustments to position us better for 2027 and beyond. Thank you. And with that, I'll turn it over to Mauricio to discuss our U.S. and Canada results.
Mauricio Herrera: Thank you, Juan, and good morning, everyone. Our fourth quarter performance in the U.S. and Canada region reflected a combination of continued industry-wide headwinds and delivered commercial actions taken to position the business for long-term success. As full-strength spirits demand decelerated through the back of the half year, we remain focused on the areas firmly within our control: execution, disciplined pricing, targeting investment behind our brands and a thoughtful management of shipments and inventory across the system. U.S. spirits trends deteriorated sequentially in 2025, with a slowdown, particularly evident to our year-end. Against this backdrop, tequila continues to stand out as the most resilient full-strength spirits category, delivering volume growth of 2.3% in the year, according to Nielsen data. While growth in the broader spirits market has skewed towards prepared cocktails, tequila has transitioned from a high-growth phase to a more normalized stabilization phase. It remains an attractive category and continues to outperform other spirits. Within this environment, our own portfolio continues to outperform the market, excluding prepared cocktails. [indiscernible] data for the 3-month period ending in November shows that Proximo continued to outperform the broader industry in value growth within full-strength spirits and more specifically within the tequila category. Nielsen data for 2025 further supports this performance showing that Proximo's volume declined 2.5%, outperforming the overall market by approximately 100 basis points. Pricing discipline remains a defining feature of our approach in the quarter. As demand moderated, competitive behavior intensified with the overall tequila category experiencing a price decline of approximately 9.2%. By contract, our average pricing decline was limited to 5.1%. While this discipline can create short-term volume pressure, we believe avoiding aggressive discounting is critical to protecting long-term brand equity and margin integrity, particularly in an environment where several competitors have leaned more heavily into aggressive pricing actions. At the same time, we continue to invest behind our brands. Our advertising and marketing investment as a percentage of sales remains above peer levels. Reflecting our conviction and sustained brand support is essentially in peers of category softness. These investments are tightly focused on expanding points of distribution, opening new on-premise accounts and improving in-store performance. From a category standpoint, strengthening our leadership position in Tequila continues to be our top priority. At the same time, RTDs represent one of the most attractive growth opportunities where we are currently underrepresented. During the second half of 2025, we increased our focus and investment behind RTDs and delivered solid double-digit growth. To further accelerate performance in this segment, we are building a stronger innovation pipeline and evaluating route-to-market alternatives that enhance coverage and execution. Turning to shipments and inventory. We took deliberate actions during the quarter to ensure healthy alignment across the system. In response to the broader slowdown in consumer takeaway, we adopted a measured approach to shipments with the aim of avoiding further inventory build. This resulted in shipments declining more sharply than depletions on a quarterly basis. Our inventory levels vary significantly across distributors with our highest level sitting in what were RNDC markets. We will actively be working on balancing inventory levels as part of the transition into our new distributors during the first half of 2026. In the quarter, retailers continue to reduce inventory to historically low levels. And in turn, distributors also actively work to reduce their own inventory levels. In addition, we had already anticipated our planned exit from RNDC, well ahead of the formal announcement, and we made a conscious decision to moderate shipments into RNDC during the end of the year to facilitate a smoother transition and mitigate disruption at the time of execution. As previously announced, we have recently completed a comprehensive review of our route-to-market strategy across the United States. As a result of this evaluation and while we value the relationships and history we've built with RNDC, we decided to transition our distribution away from them in all current markets, except for Georgia and New Mexico, effective February 1, 2026. This decision reflects our performance first mindset, aligning our brand with partners who demonstrate strong execution, focus on accountability. And while these transitions may introduce some near-term volatility, particularly in the first half of the year, we believe this change will significantly strengthen our commercial foundation and position us to compete more effectively in an increasingly dynamic U.S. marketplace. Looking beyond current market cycles, the long-term fundamentals of the U.S. spirits market remains strong. We believe tequila is positioned to be the industry's main growth category over the next decade, a trend that directly benefits Proximo as a category leader. We continue to see durable consumer appetite for premiumization and authenticity, reinforcing our confidence in the long-term trajectory of the business. I will now turn the call over to Olga Limon to discuss Mexico and the Latin America results.
Olga Montano: Thank you, Mauricio, and good morning, everyone. Moving to our performance in Mexico. I would like to frame our 2025 results within the context of the broader industry landscape. While the spirits industry remained in contraction, it is important to highlight that the pace of decline moderated meaningfully compared to 2024. Within this context, Tequila continues to prove its status as a clear outperformer. Our brands not only held their ground, but consistently gained market share across both Tequila category and Total Spirits. According to [ NisCom ] data through November, our performance in Mexico clearly outpaced the industry. While Total Spirits volume declined 1.4%, our portfolio delivered a 2.5% volume increase. In value terms, we grew 2.0% against an industry decline of 1.6%. The Tequila category specifically remains a growth engine. While the category grew 2.5% in volume, we outperformed with 3.9% growth. These results underscore the continued strength of our portfolio and our undisputed leadership position in our home market. When evaluating our performance, it is essential to look beyond the quarterly volatility and focus on a full year trajectory. Additionally, moving forward to provide a more accurate reflection of our underlying business, it is important to look at results, excluding the b:oost brand. On a full year basis and excluding our b:oost brand, Mexico delivered a 1% volume growth, broadly in line with depletions. We which decreased 1% versus the previous year. While our fourth quarter volumes decreased by 10.3%, depletions declined 7.1%. These figures follow an exceptionally strong third quarter where depletions grew by 5.2%. We evaluated -- when evaluated on a second half basis, shipments increased 0.5%, while depletions decreased by 2.5%. It is also important to note that we are lapping a particularly strong fourth quarter seen in 2024, which created a high bar for comparison. In response to softer depletions observed late this year, we intentionally moderated shipments to ensure that we close 2025 with healthy inventory levels across the system. This disciplined approach to inventory management provides us with a clean runway as we enter 2026. Throughout the year, our shipments and depletions remain well aligned confirming that the underlying consumer demand for our brands remains robust. Looking at the global picture, Mexico continues to be one of the best performing regions for Tequila and for the company as a whole. Overall, our leadership in Tequila and our ability to gain share in a challenging market gives us great confidence. By prioritizing disciplined execution and protecting the long-term health of our equity, we believe we are well positioned to continue building value in Mexico and across the region. I will now turn the call over to Shane Hoyne, Managing Director of EMEA and APAC region.
Shane Hoyne: Thank you, Olga, and good morning, everyone. In the fourth quarter of '25, the region sustained its positive momentum with both shipments and depletions growing. APAC continued to deliver double-digit depletions growth while EMEA recorded positive depletions compared to the same period last year. For the full year '25 shipments in the EMEA and APAC region were flat versus '24, while depletions increased by 1.5%, reflecting continued underlying demand despite a challenging trade environment. Inventory remained a key factor throughout the year. Particularly in the first half, elevated inventory levels across the broader industry impacted shipment patterns as distributors and retailers focused on reducing working capital and operating with lower inventory levels. These dynamics were evident across multiple markets and remained a consistent theme over the course of the year. Pricing conditions in '25 remained highly competitive with aggressive discounting across money markets as peers sought to defend volumes. While pricing pressure remains elevated, discounting activity appears to have largely stabilized. From a category standpoint, Tequila is gaining momentum across the region, driven by growing consumer interest and a deeper understanding of the category. And increasingly, tequila expanding into new occasions positioning itself as a more sophisticated option for cocktails and early evening parties. We also see tequila switch consumers from traditional brand spirits such as cognac and whiskey with many entering directly into the aged tequila segment, reinforcing the category's long-term premiumization opportunity. Overall, while the region is operating in a complex and uncertain environment, Becle continues to perform resiliently and underlying category dynamics remain constructive. Looking ahead to '26, we remain optimistic with Tequila offering significant long-term volume and value growth potential across multiple markets. Our portfolio strength and established route-to-market strategy position us well to capitalize on these trends. I'll now hand you over to Rodrigo, who will take you through the financial results.
Rodrigo de la Maza Serrato: Thank you, and good morning, everyone. I will now walk you through the financial results for the fourth quarter and full year 2025. In the fourth quarter, the company reported consolidated net sales of MXN 11.1 billion, reflecting a 14% decline year-over-year and an 8.4% decline on an FX adjusted basis. This and other reported results were negatively impacted by the appreciation of the Mexican peso in Q4. Operationally, results were impacted by deliberate inventory rebalancing actions in the U.S., mainly due to a softer demand environment into the year-end. Our price/mix increased 0.4%, reflecting our ability to sustain pricing even under extreme competitive environment, leveraging our brand equity and portfolio. However, this was more than offset by 5.7 points of unfavorable currency translation. This quarter marks our eighth consecutive quarter of year-over-year gross margin expansion, a significant achievement given an unfavorable regional mix and the appreciation of the Mexican peso, which represented a significant drag on margins. We continue to benefit from lower agave-related input costs and ongoing cost efficiencies from strategic sourcing and manufacturing operations, resulting in a gross margin of 55.2%, an expansion of 110 basis points versus a year ago. While net sales remained under pressure, we maintained investment behind our brands to protect long-term equity and ensure we are well positioned for a better time. We have done so while remaining highly selective and focused on investment efficiency. Turning to operating expenses. Distribution costs declined 6.5% and SG&A expenses decreased 6.2%, reflecting continued discipline on overheads and strong cost control across the organization. Other income increased by MXN 438 million during the quarter, primarily driven by anticipated contractual settlements related to U.S. distribution agreements. As a result, EBITDA for the fourth quarter was flat year-on-year, with EBITDA margin expanding 340 basis points to 24.4%. Net income for the quarter was MXN 1.4 billion, benefiting from MXN 148 million year-over-year foreign exchange gain as the appreciation of the Mexican peso positively impacted our net U.S. dollar debt exposure. This benefit was partially offset by a retroactive full year effective tax rate increase to 27%, which was recorded in the fourth quarter. As of December 31, 2025, cash and cash equivalents totaled MXN 10.8 billion, while total debt was MXN 18.9 billion, a decrease of MXN 7.4 billion compared to the prior year. In 2025, the company generated MXN 8.1 billion in net cash from operating activities driven primarily by the setup in underlying operating profit and continued working capital and CapEx discipline. Our balance sheet remains very strong with adjusted net leverage of 0.9x, slightly below our targeted range of 1 to 1.5x. We remain confident in our long-term free cash flow generation and have ample balance sheet capacity to execute our capital allocation agenda, which prioritizes reinvesting in the business and returning capital to shareholders. Before moving to guidance, I want to take a step back and highlight the progress we have made over the past several years. Using 2019 as a pre-Covid reference point, net revenues are up 45%, driven by 10% volume growth and a 35% increase in average price per case. This reflects the significant premiumization of our portfolio with average price per case growing at a 5% CAGR since 2019. Importantly, our Rest of the World business has doubled in size since 2019 in net sales value, reinforcing that tequila remains a high-growth category with substantial long-term potential, particularly in markets where penetration remains low. Gross profit has grown at a 7.5% CAGR since 2019 and gross margin is now 320 basis points above 2019 levels. At the same time, marketing expenses as a percentage of net sales have declined by 90 basis points versus 2019 while consolidated net sales value has grown at a 6.4% CAGR, reflecting a more efficient and disciplined investment approach. Importantly, these improvements were not driven by foreign exchange movements as the average effects in 2019 was broadly the same as in 2025. From a working capital standpoint, we have improved our cash conversion cycle. Total inventory days are back to 2019 levels, even though we have significantly premiumized our portfolio since then. Payables have improved from 36 days to 56 days and receivables have shortened from 110 days to 100 days as of year-end 2025. CapEx has also declined both in absolute terms and as a percentage of net sales from 6.9% to 3.4%. We have continued to deliver consistent dividends and free cash flow has strengthened, improving from a 4% free cash flow yield in 2019 to 14% at the end of '25. When you look at our performance over the past 6 years, the company has evolved into a more mature and resilient business, one that has strengthened its ability to premiumize consistently, invest efficiently, improve cash conversion and capital return to shareholders through a sustainable and disciplined financial model. Finally, moving on to 2026 guidance. This will be a transition year for our business as we execute the previously announced realignment of our U.S. distribution network. Changes of this scale take time to fully stabilize and may create temporary disruptions, shipment volatility, inventory realignment and added complexity. Our priority is to start this new partnerships the right way by maintaining clear communication, aligning closely on execution standards and managing inventories carefully to avoid unnecessary stock build. At the same time, we expect the broader operating environment in 2026 to remain challenging with limited visibility given macroeconomic volatility and continued consumer uncertainty. Considering these factors, we expect net sales value to decline in the low single-digit range in 2026 on a constant currency basis. Additionally, we expect A&P as a percentage of NSV to be in the range of 19% to 21% and our capital expenditures to be in the range of $90 million to $110 million. We are not providing specific guidance on operating income, particularly as we will be lapping nonrecurring gains recorded in 2025 related to the sale of b:oost and distributor contractual settlements. While we recognize the near-term complexity, we believe the actions we are taking are necessary to build a more effective commercial platform positioning us for improved performance in 2027 and beyond. I will now turn the call back to the operator for questions-and-answer session.
Operator: [Operator Instructions] Our first question comes from the line of Lucas Mussi.
Lucas Mussi: I have one on margin performance this quarter. Gross margin was up about 100 bps year-over-year. And as you mentioned, Rodrigo, on your remarks, it was still heavily impacted by FX dynamics in the quarter, geographical mix. So I wanted to see if you could share more details on the drivers behind the quarter. That would be my first question. So how much could we think about as it pertains to agave contributing to your margin on a year-over-year basis? How much came from headwinds related to FX? So any color on that front would be welcomed. And my second question still on margin is how to think about 2026 from your main drivers, mainly raw material related. As we think about agave, how you're thinking about the spot price in the market today? Has it been stable throughout the year? Do you see -- do you still see more downside to market prices? So any color on how you're thinking about your raw materials into 2026 would also be very helpful?
Rodrigo de la Maza Serrato: Thank you, Lucas, for the question. From a gross margin perspective, which was your focus, what I can share is that foreign exchange was a drag in terms of our ability to expand further by 170 basis points. So pretty much all components of gross margin equation worked favorably, the most important driver being the agave input costs which continue to be favorable to us, plus the productivity initiatives that I did mention on my script. So other than FX, the gross margin expansion could have been 280 basis points in the quarter. And looking forward, at this point in time, we don't expect major changes to this environment. Obviously, we rely on volatility from FX, which could continue to play a role.
Operator: Our next question comes from the line of Nadine Sarwat.
Nadine Sarwat: This is Nadine Sarwat from Bernstein. Two questions from me. The first on your guidance, you talked about this being a transition year to set up your business for the future. So related to that, can you unpack that transition that you referred to? How much of that is a weak macro versus deliberate strategy. And then if we look beyond 2026, are you expecting to return to solid growth? And then just one additional shorter-term question. In the Nielsen data over the last couple of weeks, we've been seeing an underlying improvement in the U.S. spirits market. Are you seeing that in your business? And if so, what do you think is behind that?
Rodrigo de la Maza Serrato: So thank you, Nadine. On your first question, I think the way we see it in -- why we mentioned this is a transition year is mostly related to the realignment of distributor network in the U.S. It's mostly that where we expect conditions in terms of macro, et cetera, to remain challenging. Having said that, I'll pass it along to Mauricio to take you through the transition and expectations for 2026 and beyond.
Mauricio Herrera: Nadine, it's Mauricio. From a transition perspective, I would make reference to the distributor changes we're making. So I do believe those changes, even though I have stated during the script will cause short-term disruption, they are definitely setting us for sustainable growth in the future. We are aligning with what we believe are the best distributors in each of the states. So as we go through that transition in H1, I think as we go into the second half of the year and especially into 2027, that should actually be reflected in improved performance in a sustainable way for the future. Regarding your question on share, we do see it. What I would say is if you could see the second semester of the year in the U.S., tequila started to decelerate even further. One of the things we have remained extremely disciplined is in managing prices. If you look at our average price has decreased a lot less than our competitors, and we continue to invest behind our brands ahead of industry benchmarks. So I think the combination of 3 things: very disciplined focus on execution, driving investment behind our brands and being able to balance pricing through promotional activity to stay competitive while still not being as aggressive to undermine long-term rapid equity, I think those things combined is what is actually driving our improvement in share in the short term.
Nadine Sarwat: Got it. And just to clarify on that medium term looking past 2026, potential to return to growth. I appreciate everything you said on the distributor transitions and distractions this year. But just thinking longer term, you had that slide up that showed your historical growth. So trying to get a sense of what investors can expect after the transition?
Mauricio Herrera: So look, from the U.S. perspective, leaving aside the transition in terms of distributors, I think what we will continue to do in 2026 and beyond, we'll continue to invest behind the brands to be perfectly positioned to capture growth as the category returns into growth. We do expect that in 2026, the category will continue to see compression. And what we want to do is make sure we're setting all the fundamentals in place in terms of route-to-market, brand health investment and being very strategic on pricing to actually start capturing, I would say, or disproportionate growth of the industry as it returns into growth, which I do believe we should start to expect happening in 2027.
Operator: Our next question comes from the line of Rodrigo Alcantara.
Rodrigo Alcantara: I guess the first one would be -- it's Rodrigo Alcantara at UBS. The first one would be follow-up on the RNDC transition in the U.S. We get this transition period, right? But any rough estimate or any number you can give us in terms of how much volume we're talking about that could be impacted just as a way of trying to quantify this transition period. That would be my first question. And the other one, if we could reflect a bit on the performance in Mexico, right? I mean you gave the figures there from a sell-in perspective, right? Just judging looking at performance of beer in Mexico in 4Q, it was not that -- the contraction was not as high, right, as what we saw today. So I mean, if you can help me here, understand, reconciliate the difference in the magnitude of contraction of other categories like beer versus the one we saw at spirits in Mexico? Those will be my 2 questions.
Mauricio Herrera: Thank you, Rodrigo. On the first question you had in terms of the RNDC transition, I think providing a number would be very difficult to really estimate what the impact from a number perspective would be. All these transitions really have a very short-term impact, that we will manage. We have a PMO -- very disciplined PMO office in place to try to minimize the disruption. We did see, as I mentioned in my script, that because of this lower depletion, especially in RNDC markets at the end of the year, that's where our highest level of inventories were. So we will be working as part of this transition to rebalance that as we go to the new distributors. So that, combined with a very volatile environment in an industry that continues to actually experiment contraction, it's very difficult to understand or predict what volume impact will be from the transition, industry contraction and competitive dynamics. So for now, what we're focused on is executing this transition in the most disciplined way, making sure that -- and actually, we feel very confident that we have the right distributor in each market. In each of the new distributors, we are, if not the biggest, one of the biggest suppliers there that will guarantee more focus and attention behind our portfolio that gives a lot of confidence that once that transition is behind us, we should start to see improved performance.
Olga Montano: Rodrigo, this is Olga. From the Mexico part, regarding the 7.1% decline in Mexico depletions this quarter, I would like to reinforce that we are seeing an improvement in consumer trends. In fact, the industry remains -- while the industry remains in contraction, the pace of decline has moderated significantly compared to 2024. And we continue to gain market share within this context. But I would like to talk about 2 factors that bridge the gap between the minus 7% and the reality of our business. There are 2 specific factors that accounted for nearly the entire decline. As we finalize the exit of the b:oost brand, we focused on clearing remaining inventory rather than commercial prioritization. These brands decline alone created a 200 basis point drag on our total Mexico depletions. The second factor is that we are being disciplined in not engaging in value-destroying activities. We intentionally chose not to participate in specific [indiscernible] promotions where we felt discounting in depth compromised our brand equity. This disciplined approach to price integrity impacted our quarterly depletions by almost 500 basis points. So when you strip away these 2 tactical factors, we are effectively flat. So basically, that would be my answer.
Rodrigo Alcantara: That's a good point. So just to clarify, excluding the -- I mean, not participating in [indiscernible] had this 500 basis points impact. Did I get that correct?
Olga Montano: Yes, that's correct, Rodrigo.
Operator: Our next question comes from the line of Antonio Hernandez.
Antonio Hernandez: This is Antonio Hernandez from Actinver. Just wanted to get a sense on nonalcoholic beverages and others that are also declining. Are these following similar trends, a competitive environment? How are you seeing there? And maybe you could provide an outlook on those? And if there are any organic or inorganic opportunities there?
Mauricio Herrera: Sorry, Antonio, thank you for your question. If I understood correctly, you're talking about nonalcoholic beverages and how they may be...
Antonio Hernandez: Exactly. Yes, how they performed this last quarter and throughout the year underperforming as well and your expectations going forward?
Bryan Carlson: Antonio, this is Brian. So that's probably related to the b:oost brand. That was a significant impact for us in the quarter, and that's within the nonalcoholic beverages part that we report in the press release. That's a big portion of it. So it's probably related to that.
Antonio Hernandez: Okay. And going forward, do you expect more stable, of course, excluding that comp from the b:oost brand?
Olga Montano: Yes, we do.
Operator: Our next question comes from the line of Froylan Mendez.
Fernando Froylan Mendez Solther: Froylan Mendez from JPMorgan. On the gross margin effect during the quarter and going forward, I read the transcript from 1 year ago, and we were speaking about positive effect from agave. 2025, you also have positive effect from agave. So it's 1 year with positive effects from agave. Should we assume that the positive impact from lower agave in 2026 should be much lower than what we have seen in the past 2 years given just the lapping of the benefit now that your inventory probably reflects a much lower average cost of agave. That's my first question. And secondly, can you provide with some directional color on your top line guidance if it is coming from volume drops similar to last year, but with better pricing or the other way around. And within the different regions, which one are the ones growing a little bit better than the other? Which one is dragging? How you created that guidance of low single-digit drop for next year, please?
Rodrigo de la Maza Serrato: Thank you, Froylan, for those questions. Regarding your first on gross margin, yes, in fact, we -- since last year, second -- last quarter of last year, we reported benefits on agave. As you see, overall, agave cost continues to benefit result this year. Excluding FX, as I mentioned, it was a significant contributor to positive gross margin expansion. We don't provide specific guidance on this topic. However, what I can say is that a lot of the -- let's say, extra benefit we've had this year and in particularly Q4, is related to simply higher agave sugar content on agave. And we expect that, that trend should continue going forward. So there is no changes necessarily expected there on agave cost from the market. And regarding your second question on top line guidance, the guidance, it's a combination, of course, in terms of volume, price mix, et cetera. So the guidance is general. We would like to stick with that guidance as it is because considering the volatility in the environment, we continuously manage those levers to deliver on the low single-digit decline that we announced.
Fernando Froylan Mendez Solther: And sorry, my ignorance, but the low -- the higher agave sugar content, does that mean that, I don't know, the crop that you are having from agave, it contains higher sugar and so it will remain -- like you have an inventory with high efficiency for the next year? So how does that work? I'm sorry if this is a stupid question. Just to understand.
Rodrigo de la Maza Serrato: Yes, no problem, Froylan. I think what's important to say is that market conditions on agave should remain similar. Internally, we do expect some further pressure on agave cost. As we balance the equation out, we have some, let's say, extraordinary, let's say, benefits this year that may not be replicable next year. So we should not expect, let's say, improvement over this year necessarily. But this is obviously something we manage on a day-to-day basis, and we expect to deliver the best possible results given that the market conditions will be similar.
Operator: Our next question comes from the line of Nicolas Rodrigues.
Nicolas Rodrigues: Nicolas Rodrigues from Citibank. My first question is regarding GLP-1. As the adoption continues to expand across key markets such as U.S., have you observed any change in consumption behavior, particularly in tequila. And my second question is about GLP-1 -- not GLP-1, about development in Jalisco. Could you comment how and if these events have any impact on Cuervo operations?
Mauricio Herrera: Thank you, Nicolas. It's Mauricio. And I'll take a question on GLP-1. Look, it is very difficult, almost impossible to estimate what an impact on tequila is on GLP-1. We do see evolving consumer trends. I think there's a lot of different things happening in the market at the moment that consumers are looking for different alternatives. We see the emergence of RTD, we see changes in patterns of consumption. So attributing any sort of impact to GLP-1 becomes, I would say, almost impossible. So it's something that we do monitor closely, but at this point, attributing any impact to that is really difficult. Regarding the incidents in Jalisco, as of today, we have not seen any impact in our operations, and we don't foresee that happening. .
Operator: [Operator Instructions] We have not received any further questions at this point. So that concludes today's call. You may now disconnect.